Claes Eliasson: Ladies and gentlemen, my name is Claes Eliasson, and I wish to welcome you all to this conference call covering the second quarter 2021. We will be listening to a presentation by the Volvo Group President and CEO, Martin Lundstedt; followed by a presentation by Chief Financial Officer, Jan Ytterberg. When done with the presentations, we will open the line for a Q&A session. [Operator Instructions] And by that, Martin, please go ahead.
Martin Lundstedt: Thank you, Claes, for that. And also, welcome to the second quarter business update from my side. We discuss this morning how to make the summary of it. And maybe to take a step back, we can start by saying that, yes, 4 out of 12 weeks, we were unfortunately standing still due to the input material. But despite that, delivering 10.7% for the group and 10.3% for the Trucks segment is, of course, solid results while we have managed the supply chain challenges. To elaborate a little bit more on it, you can say that the second quarter has been characterized by, on one hand then, the short-term operational focus, of course. We continue to see a high and positive activity level among our customers in their business around the globe, I have to say, and thereby also a continuous high demand of our products and services. The short-term priorities in all parts of the organization has been done and is to -- will continue to be to meet these positive demand also as quick and precise as possible as order books are full. This is a big challenge due to the instability and the low visibility in the global supply chain, but the construction work is working very effectively in the group and together with our business partners. But it's also worthwhile mentioning that, on the other hand, it has been a quarter also characterized by continuous push for the transformation of our industry. We have now in quite some quarters announced different decisive steps in moving into fossil-free and sustainable transportations and showing also by concrete examples how we are leading the transformation of our industry. Among other things, I can highlight the agreement during this quarter between ourselves, Daimler Truck and Traton Group to establish the Pan-European charging network for high-performance charging for fully electric vehicles, then trucks, heavy trucks and buses to accelerate the truck electrification in Europe. And also that we have continued to push out new products and services in the sustainability area. And we see that also when it comes to the sales activities, the commercial activities, the tender activities in this sector as well. So in summary, during quarter 2, all colleagues and supply chain partners, both upstream and downstream, have done a great job, a very passionate job during difficult circumstances, delivering a solid result here and serving our customer. That is, at the end of the day, the most important. The highlights of the quarter then. As we said, demand continue to be good. We will comment later on order intake and deliveries. Net sales amounted to SEK 90.6 billion, and we delivered an adjusted operating income of SEK 9.7 billion at the margin of 10.7% then, despite that we have stop days close to the upper range of our previous guidance, i.e., close to 4 weeks in the bigger truck plants globally. Cash flow was SEK 5.9 billion, and the return on capital employed increased to 23.4% on a 12-month rolling basis. So again, showing that we have a continuous good operation and resilience. That is, of course, a strength during times where uncertainty prevails. Demand is good, but uncertainty prevails. And then it is important to have that operational resilience. When it comes to deliveries, increases in deliveries, of course, across key regions. And it's -- I mean given also the very special circumstances last -- quarter 2 last year, in many ways, it's not meaningful, of course, but the Trucks deliveries increased with 85%. And the Volvo Construction Equipment delivery has increased with 5%, also given that the recovery had started for Volvo Construction Equipment already last year quarter with China coming back. When it comes to the ramp-up of sales and deliveries for battery-electric vehicles and battery-electric equipment, it continued also in quarter 2. We took 351 orders for fully electric vehicles and equipment in the quarter. On top of these numbers, also, we are also now starting to take preorders of the heavy-duty battery-electric range of Volvo Trucks, the FH and FM. That will start production on 2022, so next year. Those are not yet included in those firm orders, but there is also a high interest in addition to what you see here. And we delivered 357 fully electric vehicles compared to 26 last year. And maybe more as a take, when we look at, as I said, tender activities, interest from customers across different markets, a high interest, lots of discussions ongoing. And we continue to drive this change together with our customers in Europe, but also in North America and other markets. First delivery, for example, to Australia was during the last weeks here. Service development. I referred in the start to the high activity level among our customers, and that is, of course, also reflected in the service business development. We see that the machine and truck utilization being above pre-COVID-19 levels in many regions and continues to grow. We have seen that also in this area, it has been bottlenecks also of components, obviously, so -- but despite that, with good development. So adjusted for currency, the service business grew with an impressive 23%. And actually, if you compare with the quarter 2 2019, that was also a high activity quarter. And adjust for currency, we were actually growing with plus 5%. So that is also encouraging. And there are still a lot of business opportunities in this area, as you know, and we are working very systemic and systematic with those opportunities. One example now is that we are introducing the service contracts, the new service contracts that has been very successful for Volvo Trucks in Europe and other markets, also into the North American market. That will also drive penetration and loyalty, for example, so -- and will drive increased peace of mind and better uptime for our customers, but also good opportunities for the group here. And you can also see that it has been an impressive development in the different segments also since last year. Another very important milestone also connected to the transformation is that we got our greenhouse gas targets validated by Science Based Targets initiative. We have set the most ambitious targets in our industry, but necessary targets in order to drive our ambitions up to 2030, 2040 and ultimately to 2050. Our targets are in line with what the latest climate science deems necessary to keep global warming at the maximum of 1.5-degree Celsius. And we are targeting the net zero value chain emissions by 2040. And already, as you can see also in the slide here, the greenhouse gas reduction interim goals by 2030 on a global basis with 2019 as a baseline are also very stringent in our journey up to 2040 and set for the different segments with the relevance for the respective segments depending on how the equipment or vehicles are utilized. So tangible and clear targets on how we can focus to get this work done and decarbonize ours and our customers' business because this is also, of course, the big opportunity and challenge to decarbonize the Scope 3 downstream emissions or greenhouse gases. When we move into Trucks, I can say, first and foremost, continue to launch very competitive products. There are more trucks now. The T, T high and C&K model is following the recent launch and ramp-up of Volvo Trucks of their new FH and FM, meaning that both Volvo and Renault have really competitive and high-performing heavy-duty ranges in Europe and international cab-over engine markets. The new Renault range being major improvements in terms of driving comfort, onboard comfort, safety and productivity. And it is the most important evolution of the Renault ranges since the total renewal in 2013. Great feedback and comments from customers and business partners then during the recent launch here. So I'm very excited about that opportunity. And also, as I said in the introduction, that we have, together with Daimler Truck and the Traton Group, then signed a nonbinding agreement to install and operate high-performing public battery-electric charging infrastructure for trucks and coaches across Europe. And of course, this is really to show the way forward to make the journey with our customers to install, up to 2025, 1,700 charging points at least. We are also expecting that interest will grow when we are now showing the way, and also customers will have a bigger confidence in making this journey together with us. So very exciting about that, and also good business opportunity, obviously, given the need of having recurrent charging across Europe for this type of production equipment. That is a big difference to cars, for example. And we are also open, of course, for additional partners and public funding in order to make this happen and accelerate that, not at least in the light of the recent development and announcement from European Union with the Fit for 55 announcement. When it comes to market forecast, it's -- as we said already last quarter, based on current visibility on both demand, but mainly supply, it will continue to be the supply side that is dictating how we can continue to ramp up production to meet the high order backlog and demand that we see across markets. Europe and North America, demand remains strong, but -- and because there is a general lack of transport capacity and fleet utilization is high. Inventories are low out in the markets. But it is difficult to assess how the current supply situation will develop and how it will affect the truck industry volumes. We keep then the market forecast unchanged for North America and Europe to 290,000 units. Also, in Brazil, driven by commodities and agriculture, a strong development. We are keeping that also unchanged on a high level of 95,000. India, of course, the COVID-19 has caused extra lockdowns, unfortunately, and thereby, also affecting the market. And we are decreasing somewhat our market forecast with 50,000 units. And in China, subsidies for the replacement of vehicles with less than China [3 OC] and 3 emissions supported the market strongly during first half of the year than we initially anticipated. And we are, therefore, increasing our total market forecast of China with 90,000 units. However, what we see now is the correction and decline of the market as from May, and we expect that to continue also in the second half of the year after very, very strong developments over the last quarters and years. And at the end of the day, that is a good thing because we don't want to continue to create, so to speak, a situation where we are delivering in units that eventually will cause a bubble. So we'll come back to that also when it comes to Construction Equipment. Orders and deliveries, of course, when it comes to the order side, we see strong orders across most regions. But as you can also see here on the graph, given the extremely strong order intake development that we have had over the last quarters, we have also meant that we are sold out for 2021 basically across the globe. And we have been cautious now to take orders for 2022. It is not meaningful to place too many orders given also that the commercial agreements must be fine-tuned given also upstream development of input material, for example. So therefore, it is also, in the light of that -- the discrete order intake figure for quarter 2, it is not really worthwhile to judge as a stand-alone figure. Deliveries, we communicated already in the beginning of this quarter at the Q1 past conference that we expected 2 to 4 weeks of stoppages due to supply constraints. We have now been clear saying that it was in the upper range, so 4 weeks in the global system on Trucks. Of course, now main priority is continue to work with shorten our lead times to customers. And we plan then to gradually increase our outputs during second half of the year. It's not our industrial system that will dictate the capacity, obviously, this -- how the stability will look like when it comes to different type of input materials here. And we will stretch also the production, continue to do so. Every unit counts for us. It is an important source of resilience for the future. Customers really want to have it, and therefore, also, we are stretching the system. And that's the reason also why we say that we will see disturbances. And everything else should have been, so to speak, a mistake not doing like that. In addition, of course, we see, as you see, the pandemic making still the situation vulnerable. We have now, for example, temporary lockdowns in important supplier markets like Malaysia and Taiwan. How long will that last? What -- how will it affect the sector? But that goes for everyone, not only in our sector, but all over the place, so to speak. Continue to manage that with good volume flexibility. Market shares. Renault Trucks in Europe, if we start there, was relatively flat year-to-date. Volvo Trucks had somewhat decreased, which was, in addition to what we have said about the supply chain issues, also related to the gradual ramp-up now of the new range and affected also the group's ability to produce and deliver Volvo Trucks in line with the market during the quarter. Somewhat expected also, obviously, when you're ramping up. But the good news here is that the new Volvo Truck range for Europe is extremely well received. Full focus now is to continue to ramp up production and to meet the high customer demand and order book here. Our work also, as you can see on the right side in Europe, to electrify our customers. Fleet continues with market shares for Volvo Trucks and Renault Trucks combined year-to-date May, I should say, reaching almost 65%. Somewhat positive development then for Volvo Trucks in North America, also with some selected fleets. Flat situation for Mack. Market share in Brazil, a little bit lower. And I mean, last year, we had an extremely good situation. So we should see it in the light of that also. But also that we were coming in this year with very low inventory in Brazil, so also the same type of focus. So I mean I don't comment Australia specifically, but you can see that we have lost here. And the main reason, I should say, is that we have had internal logistic issues in Singapore and also in coming into Australia since we have full operation in Australia. So this has been caused by internal issues. We are now back on track. And we count on a gradual recovery of the market share during the rest of the year. Order board and order books are full. Moving into CE, also here, you can see a number of interesting news. The 50-tonne excavator machine class aimed at heavy-duty digging and large site preparation, impressive results when it comes to the electric -- electrohydraulic new systems, also giving a fuel benefit of up to 25%. And that is, of course, causing a fantastic numbers when it comes to productivity. But also, first dedicated fuel cell test lab in Volvo Group opened in Eskilstuna. So we are not pushing fuel cells only for the vehicles, but also for the construction equipment. On market environment, the same here. Based on current visibility on both demand and mainly supply, except for China, there is a broad-based increase of demand across our key regions. And the changes we are doing to the market forecast are -- we are increasing North America with 5 percentage points; European Union with 10 percentage points; South America, 15; Asia, except China then, plus 5; and China, flat. The Chinese market is difficult to assess. But so far, our assessment from quarter 1 holds. And we have noticed in quarter 2 that the market has started to decline as from May. And again, I just would like to reiterate that we have expected that, and we think that is also a sound development given the extremely strong development over the last years. Book-to-bill, very strong, with the exception of then China, but also in the light of what I just said with its expected decline. Very positive with Americas and Europe, strong developments. Our 2 other strong legs are also now developing well and, thereby, also good opportunity to continue to offset the expected cooling off and decline in China. Also, we see that with our core segments growing, there is a good level of machine utilization, very similar to the Trucks side. Another positive factor also for us. And you can see that in the order intake, not at least in North America, low dealer inventories and pipeline. And Volvo CE has not been as affected as Trucks with regards to semiconductor shortages and continue also to, of course, focus on the total picture because it's not only about semiconductors, but also other input materials and a stretched supply chain or logistics, et cetera. Buses, I mean, among the group's different segments, the segment that has been most severely affected. As you know, restrictions in tourism and travel, public transport, et cetera. But Volvo Buses has not spared any efforts of really, so to speak, working with the cost side, volume flexibility and take down the general cost levels and manage to reach breakeven in quarter 2 on very low volumes. That is, of course, a strong achievement and a good platform moving forward with gradually better activity levels to be expected when societies are opening up here. But still, order intake increased with 5%, and deliveries increased with 45% from very low levels. So still a way to go here, of course. Volvo Penta. All segments in focus for Penta, strong activity level. And net order intake in the quarter increased by 102% and deliveries with 68%. And also another smaller but important example also of how we are taking different steps in the sustainability journey with the acquisition also of the Norwegian driveline solution supplier, ZEM, for marine electrical drivelines. And on a final note, VFS. Financial Services continued to show a solid performance in quarter 2, reached a new quarter 2 business volume record on the back of increased penetration across the business areas. So very positive development. Credit portfolio in good balance with delinquencies at historically low levels. And also very important, how VFS is continuing to develop a number of very important solutions and business models also for the transformation together with our business areas. New package solutions for financing of electric vehicles and charging over the life cycle, implementing digital payment solutions for different services, accelerating the development of Equipment-as-a-Service programs and rolling out, for example, new connected insurance programs in addition to the services already existing. So by that, I hand it to Jan for the financial update. Thank you.
Jan Ytterberg: Thank you, Martin. Well, there seems to be something special with second quarters and supply disruptions, at least the last 2 years. Last year, second quarter, 4 to 6 weeks of complete production stop across the group and the society that was under partial or full shutdown toward the pandemic. And this year then, 4 weeks of halting the truck production due to shortages of supply, whereas the underlying demand was strong and restrictions in general lifted. Some similarities, but the severity of the problem was, of course, much less this quarter, but challenging enough. And with lower visibility and top line then partly being capped due to lack of capacity at suppliers, we need to have continued focus on cost discipline and cash cautiousness going forward. Moving over then to the P&L and starting at the top on the net sales. Deliveries of vehicles this second quarter were sequentially actually lower than the first quarter, and that is not the normal seasonal pattern for Volvo since the second quarter is our strongest delivery quarter. Despite the halt to the production, truck production then during a month, net sales of the group was over SEK 90 billion in the quarter. We have a continued headwind from FX related to an appreciated Swedish krona against all our important currencies, but especially then related to the dollar, but also the Brazilian real, euro and the Chinese yuan. In total, we have an FX effect on net sales of close to SEK 7 billion. And as regard regions, they increased here across on vehicle and service volumes, and that impacted positively, except then for Asia where deliveries were stable compared, if you remember, an elevated second quarter last year in China. And going on with the earnings as such then and comparing then the second quarter this year with the second quarter last year. It's a difficult comparison. But here, we can see, of course, that the higher vehicle volume both related to the gross profit as such per delivered unit and the more delivered units and then, of course, improved capacity utilization in the industrial side. These will remain explanations behind the improvement of adjusted operating income of close to SEK 6.5 billion to SEK 9.7 billion and giving then an adjusted operating margin of 10.7%. And furthermore, we have then a positive price effect on Trucks, whereas the positive mix effect was related then what Martin was saying to Construction Equipment, where we have increased sales of heavier machines and also especially then in Europe and North America, and that impacted positively. These items are in the gross income, and that impacted, of course, the gross income favorably. But looking at the pressure on operating income, they came mainly then from increased ambition and activity levels in R&D and also lower joint venture income, negatively impacted by a prioritization effect, a tougher market condition in Asia and partly also to the fact that we have our fuel cell joint venture, cellcentric, here included fully as from the second quarter this year. Headwind from FX continued here in the second quarter, minus SEK 1.5 billion, once again reflecting the stronger Swedish krona and specifically then the weakening dollar compared to second quarter last year. Looking at the FX transaction effect as such then, we expect now for the second half of the year a slight positive impact for the H2 then. And we do not provide forecast for the full year as it relates to FX and operating income. If we make a comparison more with what has happened this year and then with the first quarter this year here in the second quarter, we can see that the negative effects on adjusted operating income of some SEK 2 billion, SEK 2.1 billion were mainly then related to lower production output. And that was, of course, only partly seen in deliveries. That is due to the supply shortages and also, to some extent, higher R&D costs as well as lower joint venture income. If we move over to the cash generation, the supply shortages impacted also here as production material was brought in for critical parts and components to create and restore necessary buffers to limit the risk when bottlenecks can't be removed. And as Martin has said, we should not be, sort of say, the bottleneck in this situation. The inventory of new and used trucks were at the low level, an indication of used vehicles actually at record low levels, and that is, of course, a reflection of the lack of supply of new trucks. We have somewhat higher noncash items in the cash flow statement. And that was related to the reversal of the capital gain on the divestment of UD Trucks and had a positive impact on the cash flow related to dividends from our joint ventures of some SEK 750 million in the quarter. All in all, an operating cash flow in Industrial Operation of SEK 5.9 billion for the quarter. Moving over to the financial position then, it was SEK 67 billion at the end of June, negatively affected then in the quarter by the payout of dividend of over SEK 30 billion in the beginning of the quarter, partly offset then by receiving the proceeds for UD Trucks sales divestment of close to SEK 19 billion and, of course, also the cash flow as such. In the beginning of this third quarter, some SEK 19 billion, once again, the proceeds from the UD Truck sales was distributed to the shareholders as an extra dividend, meaning that we had, after that, close to SEK 50 billion as net cash. And by that, we continue to have a strong financial position also going forward. Going into the segments and starting with the Trucks then, and I think we can see here that the improved resilience of the Volvo Group was clearly seen in Group Trucks here in the second quarter. With the production being halted total 4 weeks out of the 12, Group Trucks still was able to deliver an adjusted operating income of SEK 5.4 billion and a margin of 10.3%. Therefore, resilience is so important. Service revenues were at the high level, and the cost discipline continue to be good. And these were the 2 main reasons behind this achievement. When comparing with the second quarter last year, we have the same explanation as we had for the Volvo Group as such, improved vehicle volumes impacting positively, but also, of course, impacting positive on capacity utilization. And as I mentioned in the beginning, price impacted positively, not at least related to FH, FM range, the new one for Volvo Trucks. And as regard to general price increases, they have compensated for the raw material cost increases that we have seen. The lack of new trucks had positively impacted the used truck business, where both prices and sales channel mix impacted positively compared to the second quarter last year. But we should remember that last year, we had provisions for used trucks and we also have some residual values impairments. R&D and joint venture income impacted negatively, as did the headwind from FX of SEK 0.7 billion. If we move over to Construction Equipment, we continue to see high level of deliveries of vehicles and services. We experienced a favorable shift in regional and product mix towards proportionally more deliveries of heavy machines and more deliveries into Europe and North America where prices are higher. Implicitly, in the weight of China with the lighter machine mix decrease compared to a strange and extraordinary strong second quarter last year for China when business was recovering after the pandemic outbreak during the first quarter in China. The shift, that was also clearly seen in net sales where FX adjusted net sales was up 21%, whereas machine delivery increase was limited to 5%. These positive effects were the main explanation by the improved adjusted operating income of some SEK 265 million to close to SEK 3.4 billion and an adjusted operating margin of 13.1%. But on the negative side, we had the raw material price pressure, mainly from steel then, impacting more in Construction Equipment, reflecting the machine cost structure we have with more raw material included. In areas outside China, we have to mitigate that, introduced price increases to compensate for the raw material. But when we take a look on Construction Equipment as a total, the price pressure in China did offset this and gave actually a net negative impact of price for the business area. The ramp-up of ambition and activities in R&D area impacted negatively, as did the headwind for FX, and that was mainly related to the weaker dollar for Construction Equipment. On Buses, as Martin were into, we continue to see a demand that is hampered by reduced or hesitant personal mobility around the globe, and bus fleets are still standing idle. We see though that the utilization is improving, and that was seen in our service -- in the demand of service and our service revenues. And also, we see somewhat the general sentiment in the market. Meanwhile, Buses has done an impressive work to lower the breakeven point the last year and especially since the pandemic outbreak. So when volumes come, the leverage becomes good. And that was exactly what happened here in the second quarter when we have higher vehicle deliveries and service sales that impacted positively. So an adjusted operating income going from minus SEK 500 million to a [red 0] due to good work on the cost side, among other things. For Penta, demand and volumes of both engines and service continue to be strong. Supply shortages had limited impact on production as such in the quarter, but it is a considerable bottleneck to meet demand going forward. The increases in deliveries were particularly strong on the marine leisure side due to strong boating season where both old and new motors are contributing to both engine sales and strong demand of services, and secondhand market is booming. And what they call in the boat business, sleeping beauties are being used, again, contributing to the service sales. The increase of engine deliveries in the industrial segment was high. But last year then, we had Chinese deliveries that already have started to recover. With higher activities in the market and also ambitions on present and future technology, the indirect cost increase in the quarter, which, together with a negative FX effect of some SEK 170 million, limited the increase of adjusted operating income to SEK 270 million, slightly over SEK 0.6 billion of operating income or adjusted operating income, giving a margin of 15.6%. And we -- and finally, but not at least with Financial Services then. And looking at the portfolio, we can see that, adjusted for currency, the new retail financing was substantially higher than the first -- second quarter last year, reflecting, of course, the higher deliveries in the group. But the credit portfolio as such continued to increase FX adjusted. We continue to see a good payment ability and performance among our customers, and write-off levels were low except for some certain bus customers. When we make this comparison, we must remember that the second quarter last year was heavily affected by the general business uncertainty for our customers in the midst of the measure toward the pandemic and an imminent need then also for many customers to modify their payment schemes to handle the situation. So subsequently, we made substantial credit provisions during the second quarter last year. Credit expenses this year second quarter were positive as we have a change of how to calculate credit provision for vehicles in operating leases, and that impacted positively with SEK 190 million. So all in all, when we take a look at the credit expenses, they are SEK 900 million better this quarter. And on the negative side, we have also here a headwind from FX of some SEK 85 million, meaning that we saw an improvement of adjusted operating income of some SEK 850 million to over SEK 900 million. And we were back at return on equity levels inside the range of our financial targets here in the second quarter. By that, Martin?
Martin Lundstedt: I think, summary, very clear again, delivered solid results, managing the supply chain challenges, continued to see a high demand in our key markets and full focus to deliver, of course, on the order book also moving forward here and also driving the transformation of the industry. So by that, Claes, I think we are ready to open for questions.
Claes Eliasson: Yes, we are. Thank you, Martin. Thank you, Jan. Operator, will you please press the first question, please?
Operator: [Operator Instructions] The first question comes from the line of Tom Narayan from RBC.
Tom Narayan: Tom Narayan, RBC. First, could you give us a little more color on the supply side issue on Trucks as it stands today? Clearly, it's driving your decision not to raise the market guidance for Europe and North America. Specifically, what are the components most impacted? Is it mostly chips? And maybe what are your suppliers telling you? Secondly, Traton appears less bullish on the prospects for heavy-duty fuel cell trucks. It seems to be favoring a full electric option. I personally am more in your camp on this. But what happens if they are right and we are both wrong? Could you pivot to a more full electric approach?
Martin Lundstedt: Yes. First, thank you for the 2 questions. To start with then, on the supply chain side, obviously, it has been around different type of components since a lot of our parts and components today are utilizing chips and semiconductors in different shapes and forms. And we have not only seen the very quick recovery, as you're well aware, but also a number of discrete events compounding that situation, primarily during springtime here. So I mean the name of the game is -- but we also see that quick recovery also affecting some other input materials and, to some extent also, as you're well aware there, the logistical capacity, et cetera. So the name of the game is to continue to work very close with our supply chain partners flow by flow. We are clear about our ambitions to continue to ramp up. We would love to see the market being higher. But I mean the guidance is what it is given also how we have seen the first 5 to 6 months development now. But the ambitions are clear, the order book is high and we are step-by-step then ramping up.
Jan Ytterberg: And that's also why I made the comment on the cash flow. As you saw, we had a buildup of inventory. We are, of course, stocking up and buffering critical parts and components where we expect that there can be a future bottleneck in case of the imminent ones are being sold. And that is, of course, as I said, us not being the bottleneck in this situation.
Martin Lundstedt : And on the second question, what we can say is that, first and foremost, it is important, just to remind everyone, that the powertrain as such will be an electric powertrain, both for the hydrogen fuel cell systems and for the battery-electric system, so to speak. So there, you have a modular setup where you can utilize the same powertrain for the 2 type of energy layers. And then depending on applications, you are then having a fuel cell with hydrogen or a battery. It is a range. It is gross combination weights. It is what type of green energy that will be provided, what type of infrastructure that will exist in different parts of the world, et cetera, meaning that the 2 bets that we see here are, in our view, in order to cover all regions and to get to the net zero targets that we have by 2040, an absolute must; also together with a more tiny proportion, but still a proportion of internal combustion engines based on completely renewable sources then. So – but here is the beauty of the modular system, that you can put these bets on the same platform and not with very specific type of products. Then you can also say that for fuel cells, it is also important to remember that we see that given the design of our fuel cell stacks in the cellcentric company also being utilized for a number of other applications in the group, both for Volvo Penta, Construction Equipment and Buses.
Operator: The next question comes from the line of Hampus Engellau from Handelsbanken.
Hampus Engellau: Two questions from me. Starting off on your market outlook that was repeated, how much of that outlook is being held back by the shortages that you have mentioned during the presentation? And that makes you more confident in that demand being pushed out to 2022. Second question is related on that, and that's related to the order book. Will you open up the order book for 2022 on a broad basis? I know you're taking orders to orders here, but on a broad basis, earlier than you usually do. And in terms of that, how we're working on pricing? Those are my 2 questions.
Martin Lundstedt : First and foremost, you are absolutely right, Hampus, obviously, that it is supply deciding the market size for 2021, that's for sure, and that we see also with the size of the order book that we are having now in the different main regions. And as a consequence of that, if nothing dramatic is happening, of course, the demand is pushed out into 2022. We see that also related to the used truck demand. As a matter of fact, that capacity is needed in the market. And we also continue to see a positive underlying development, for example, of e-commerce and others. Having said that -- so I mean that's the reason also why the main focus will continue to be, okay, ramping up, take opportunities as quick as we can get them where we are also now preparing. So in hindsight, you can say, okay, should you have had a structure of the capacity that we had in quarter 2, still, we deem that to be right because now when we will continue to work with it, we need to have that capacity. So we are not handing up the bottleneck given also what the future revenue streams will mean for every unit that is coming in here. So Jan was speaking, this is coming from a positive development. We should not forget that. And when we see the total market of 290,000, it is a good recovery, obviously, but it's not super high market. So that is showing that we need to continue here also just to cover replacement needs, et cetera, moving forward. What was the second?
Jan Ytterberg: The order book, when do we open 2022 and the pricing...
Martin Lundstedt : Yes. Yes, I mean – and that has, of course, been one of the key elements now given the volatility in upstream development of input materials, raw materials, logistics, et cetera, that we can also have an order book that is too long because that is not serious I our customers. So we need to fulfill our commitments, obviously. So far, we have been able to be ahead of the curve, as Jan mentioned. And that’s the reason why we have been cautious also for ‘22. Then obviously, now when we move into quarter 3, et cetera, we need to gradually start to open up order book so our customers can plan for it. So we have a very close dialogue not only with the customers but also with our dealers and market companies around the globe here. But again, Hampus, you said – I mean, of course, I mean we are watching also the commercial conditions given the development in the markets, as we have done so far also.
Operator: The next question comes from the line of Daniela Costa from Goldman Sachs.
Daniela Costa: If I could ask 3 questions, please. The first one is regarding your sort of like ambitions you've shown at the CMD last year where you want to be, I think, over 35% EV by 2030, if I remember correctly. Wondering how that assumption stays now that we have this new European Commission targets last week and whether you got -- you have to step up the pace of investment for that. And I can ask the questions maybe one at a time if it's easier. I'll come back to the others after you reply to this one.
Martin Lundstedt: Absolutely, Daniela. Thank you for that. First and foremost, I mean we said at least 35% by 2030 globally. And I mean when we talk about 55% then -- and that is so far stated on the past call side. And that is not only related to electric, it's about emission reductions. And of course, we do that through electrification, but also through a lot of other means. So broadly, we see that in line absolutely with ambitions, and that's the reason why we have said we want to be ahead. We want to lead this transformation. What is good about the statement of the European Union about the Fit for 55 is that everyone now needs to step up to create a system changeover. And that -- we did it by announcing now the intention with future joint venture of charging infrastructure, but it will require also public initiatives and also investments on the green generation of energy, et cetera. So we welcome that initiatives, and now it's time for action for everyone. I think everyone has written their documents now, so let's move into execution mode.
Daniela Costa: And the other question, the 2 ones I have there are very interrelated, so maybe I'll ask them together. But one was, I guess, you still have some permanent savings coming through the bridge from last years and what you did in the end of '19, but you also have temporary savings probably reversing. So can you walk us through the balance of that for the next couple of quarters? And maybe to help also sort of start the base, where do you think your margins would have been this quarter hadn't it been for the strike and the disruptions assuming the volumes were what they ended up being?
Jan Ytterberg: And Daniela, and as you have seen, we are gradually ramping up the R&D, both as it relates ambition and activities, not at least in the, what we can call, the green area. That is happening. And the task for us is, of course, to make sure that other costs are, sort of say, being as flat as possible in this situation, holding back initiatives and ambitions. To some extent, of course, we are helped by the layoff we did, setting a new base, but there will be more of ambitions, both IT, traveling, I expect that you sort of have that in your mind, events, et cetera. But it’s our task to secure that, that is increasing, but at a very moderate pace going forward so that we can, sort of say, reveal that money into the R&D side. So there will be a continued sort of increase of R&D, and we will do our utmost, sort of say, securing stability around the SG&A. Would the margin have been in Q1 – or in Q2 if we would have had sort of no disturbances? Well, it’s difficult. But if – to answer that, as I said when I made the sequential analysis for the group, I mean the main difference between Q1 and Q2 is the supply disturbances. We had some in Q1, but of course, on the Trucks side, much more severe in the second quarter. Besides that, we have, as I said at the presentation, a negative effect on R&D and joint venture. But the big effect between Q1 and Q2 is exactly the disturbances. And as you have seen, if we take out the UD Trucks, the deliveries were not that much lower in Q1, but – in Q2 compared to Q1. But of course, we had a total different production output between the quarters.
Operator: The next question comes from the line of Agnieszka Vilela from Nordea.
Agnieszka Vilela : Just coming back to the production disruptions. Can you just maybe start and say what you think about the supply chain right now compared to where it was in Q2? Is it better or worse for you? And also, looking at your deliveries expectations for Q3, do you expect them to be higher than in Q2? And will you be using the summer holidays to build the trucks?
Martin Lundstedt: Thank you, Agnieszka. Now first and foremost, I mean, if we start with the last question, we will utilize the summer break, of course, to produce where it matters. It doesn't matter for us to continue to hold up the whole industrial structure given the shortages that we have seen, but we will definitely, of course, hold up supply chains where it matters in order to continue to strengthen, so to speak, the visibility and the right type of buffer levels even if that will continue to be developed. The situation right now, I mean, is still, as we have said, low visibility. At the same time, we have seen how a number of the severely affected supply chains have been improved. Some new ones have been popping up. This time, we are not stating exactly, I mean, or exactly about the range, for example. So there are certain signs, but we also would like to be clear that high demand again, high order book, we will continue to press. You will hear about disturbances, but it will also be, I mean, with a target of increasing the level where we are having the input, of course. I mean that is how it is working. So if anything, we have removed a number of them. Some have been coming into play, but the net effect is, from that regard, positive. Visibility is still low. But of course, we have a crisis organization also working more and more efficient in these terms.
Agnieszka Vilela: Great. And then just...
Martin Lundstedt: Yes. Sorry, go ahead.
Agnieszka Vilela: Just a follow-up also on Construction Equipment, you see very strong orders momentum in North America, Europe and South America. How you think about your production capacity also for Construction Equipment? And also, what should we expect when it comes to kind of net of raw materials prices, inflation and your own pricing?
Jan Ytterberg : Of course, I mean with the increase in North America, South America and Europe, we have so far not seen -- I mean we have been able to handle the production challenges in Q2 for VCE. And of course, these are increasing all the time. So let's see when we, sort of say, hit the wall here. But as we have said before, we are stretching the limit as much as we can also on Construction Equipment. As relates to raw material/market conditions or our conditions to customers, we are, of course, ramping up also on that side to be able to mitigate the raw material cost increases. And that is on its way. Then of course, with long lead times and raw material prices that are difficult to predict, there are quarters in different business areas where we could have, sort of say, a little mismatch between price and raw material. But when we, sort of say, step out of this, we will see that we have been able to over the time compensate ourselves for this. And as we said, we are maybe a little ahead of the curve in -- on Trucks, but we are maybe a little behind the curve on VCE, but that will regulate itself.
Martin Lundstedt: Yes. Generally speaking, when it comes to Construction Equipment, we are happy to see also that we have, I mean, 3 very strong pillars to stand on now. I mean, as you rightly said, with Americas, both South and North America, but also then complemented with Europe, not at least in this situation when the expected decline on China will come, we see that it is in the core segment that it is growing. That is very good and encouraging news. We see also a number of the infrastructure bills coming through, et cetera. So interesting times to have in these core regions for us, and that will, of course, support the resilience of VCE.
Operator: The next question comes from the line of Klas Bergelind from Citi.
Klas Bergelind : Martin and Jan, Klas at Citi. So first, on the moving parts into the third quarter looking at EBIT, you will run production harder now, which could weigh on EBIT further maybe, but then we also have price cost. And obviously, as you have said, we see this more in Construction Equipment at the moment. But should we expect any sort of lag effect and the business spreading to Trucks? You said that you're ahead of the curve on Trucks, but is that a comment that also holds for the full year? I'll start there.
Jan Ytterberg: And we will see more of pressure from raw material coming in here in H2 also on the Trucks side. And as I said, there could be moments where we are lagging behind the curve or where we are ahead of curve. But of course, we will compensate ourselves over the time for this, definitely.
Klas Bergelind: Okay. No, that's good. My second and follow-up question is on CE. There is pressure on prices in China and costs are going up. Are you initiating any specific cost actions, stop date, et cetera, et cetera, which is more sort of demand driven rather than supply driven in Trucks? Because obviously if demand is just starting to fall and you have a price cost issue, you might have to take actions on cost, and I wonder whether you have done that already.
Jan Ytterberg: I mean what we are doing in this situation is, of course, prioritizing where we can the more profitable products, in general, i.e., the more heavy equipment. Well, I mean we have also done some, as we launched before, localization on the Volvo brand here. So we are working pretty intensively with the cost side to mitigate this. But of course, in the end, I mean we cannot continue with the price situation going down. So we have to take our responsibility in the market to try to do something to bring, sort of say, the market conditions upwards. But it's a diligent situation. As Martin said, we have now a situation where we have a better mix of Construction Equipment output deliveries, which can also mean that we can be a little maybe cooler in this situation. So let's see. It's of course, a squeeze, and we will do our part to get out of that.
Martin Lundstedt: But I think also, Klas, just to reiterate what -- and reinforce what Jan said and what I just said before, I mean the very encouraging development we see in the other main regions is, of course, very important for us now also, I mean the Americas, Europe, but also other parts of the world with the Construction Equipment market. So there, we are strong. We have a strong position and continue to utilize that platform.
Jan Ytterberg : And I mean it's also where the Chinese domestic players, and actually, we are one of them.
Martin Lundstedt: Yes.
Klas Bergelind : Totally. No, my own work suggests that you can more than offset through Europe and North America being very strong markets. So I just wanted to check in on China.
Operator: Next question is from Nicolai Kempf from Deutsche Bank.
Nicolai Kempf: It's Nicolai Kempf from Deutsche Bank. My first would be on the order intake. It looks a bit below the market rate for North America and also Europe in the second quarter. So what's the focus on the quality of the orders or what on pricing? And can you give a bit more color on this? And my second one would be on the current lead times from the order to the delivery and how this can be maybe lowered in the second half of the year.
Martin Lundstedt: Thank you, Nicolai. Now as I said, when it comes to the order intake, exactly to your question here, we have been more cautious taking in orders since we are sold out, and that is also then bridging over to your second question. We are more or less sold out for 2021. And now also with a lot of things moving in the markets for commercial conditions, for planning and for having, so to speak, the right quality in the order book for 2022, we have been cautious opening that. So you have to see that specific order intake in quarter 2 also related to the orders that we have had and the very positive book-to-bill that we have had for quite some quarters now. And what that is giving us, a net effect in the total order book for the group, so to speak. So here, it's about balancing, having the right market conditions that we can stand for and be a trusted partner with our customers, plan for them also the capacity and also fulfill the promises that we have for the rest of this year.
Operator: Last question comes from Erik Golrang from SEB.
Erik Golrang: I'm trying to ask this in a way it hasn't been. But on the production, your production capability for the second half here, maybe I missed something obvious, but it's a bit difficult to square everything you're saying. I mean could you help us in with any numbers here? I mean how limited are you in terms of producing on the order book that it sits today? Obviously, Q4 is a big delivery quarter for you. And should we basically expect that seasonal uptick to be very difficult to achieve? Or exactly how limited are you because of the supply constraints?
Martin Lundstedt: No. As we have said, Erik, I mean when -- if we start with our internal production capacity and capabilities, we are ready to meet, so to speak, the ramp-up that we would like to have in order to meet this high demand from customers. So that is number one. Then obviously, we are, as I said, working supply chain by supply chain. We are seeing gradual improvements. We are seeing better visibility for certain of the critical components that has been affecting us during quarter 2 and also a little bit at the end of quarter 1. So clear improvements. Some new ones have popped up, but the net effect still has been positive. So of course, our target now is to continue to ramp up during the second half of the year. And the best, of course, guidance that we can give now is that we have left also the total market guidance as our best focus now. And that, of course, we should take out a fair share of that market.
Erik Golrang: Okay. But I mean you can deviate quite substantially from the overall market development over the course of a few quarters, so yes.
Martin Lundstedt: Yes. And again, I mean, I think we have been as clear as we can. High order book, good capabilities in our industrial system, very, very intense work together with our different supply chain partners, gradual improvements seen, but also new events coming in unexpectedly, for example, temporary lockdowns. We need to be realistic here. But again, I think it’s important for everyone listening into the call as to remember that there is a very strong momentum in our business. The midterm trends here are all very encouraging to see. And of course, a lot of focus is to continue to ramp up to meet this good demand, basically.
Operator: This concludes the Q&A, so I will pass back to the speakers for any closing comments.
Martin Lundstedt: Well, thank you very much for listening in today, and wish you also a nice summer. Take care, everyone.
Claes Eliasson: Thank you. Talk to you in 3 months. Bye for now.